Operator: Greetings, and welcome to the ON24 First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only-mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lauren Sloane, Investor Relations for ON24. Thank you, Lauren. You may begin.
Lauren Sloane: Thank you. Hello and good afternoon, everyone. Welcome to ON24’s first quarter 2023 earnings conference call. On the call with me today are Sharat Sharan, Co-Founder and CEO of ON24 and Steve Vattuone, Chief Financial Officer of ON24. Before we begin, I would like to remind everyone that some information provided during this call will include forward-looking statements regarding future events and financial performance, including the execution of our capital return program and guidance for the second quarter and full fiscal year 2023 as well as certain second quarter and full year non-GAAP projections. These forward-looking statements are subject to known and unknown risks and uncertainties that could adversely affect ON24’s future results and cause these forward-looking statements to be inaccurate, including our ability to grow our revenue, attract new customers and expand sales to existing customers, the success of our new products and capabilities, other statements regarding our ability to achieve our business strategies, growth or other future events or conditions such as the impact of adverse economic conditions and macroeconomic deterioration, including increased inflation.  ON24 cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company’s periodic SEC filings in today’s financial press release for factors that could cause our actual results to differ materially from any forward-looking statements. We’d also like to point out that on today’s call, we will report both GAAP and non-GAAP results. We view these non-GAAP financial measures to evaluate our ongoing operations and for internal planning and forecasting purposes. Non-GAAP financial measures are presented in addition to and not as a substitute for financial measures calculated in accordance with GAAP. To see the reconciliations of these non-GAAP financial measures, please refer to today’s financial press release. I will now turn the call over to Sharat. Please go ahead.
Sharat Sharan: Thank you, and welcome everyone to ON24’s first quarter 2023 financial results conference call. We appreciate you joining us. With me today is Steve Vattuone, Chief Financial Officer. Before we get into results, as a reminder, the ON24 platform includes six integrated products to create live, always-on and personalized experiences that work together to drive deep engagement, generate first-party data and provide a unified set of customer insights and analytics that integrate with our customers’ business systems so that sales and marketing organizations can take the right actions to deliver cost-effective revenue growth. We define this as a Core Platform, which supports enterprises predominantly in six verticals; technology, Life Sciences, professional services, financial services, manufacturing and B2B information services. With a focus on the following use cases; demand generation, health care professional engagement, live certification and training, partner enablement and member enrollment.  As we stated on our last call, we have deemphasized the virtual conference product and are now focused on our Core Platform. We are pleased to report Q1 results in line with our expectations. Q1 Core Platform revenue, including services, was $41.2 million, and total revenue, including Virtual Conference, was $43.1 million, both at the high end of our guidance range. Of total revenue for the quarter, subscription and other platform revenue was $39.4 million, and our professional services revenue was $3.7 million. We posted a non-GAAP operating loss of $4.2 million in Q1. We ended Q1 with $149.2 million in ARR related to our Core Platform, representing a sequential decrease from Q4 of $3.3 million, in line with our expectations. Regarding our path to profitability, we are on track to achieve our previously stated goal of reaching breakeven non-GAAP EPS by Q2 ‘23. Following our cost reduction programs, our headcount now stands 13% lower as compared to December 2022. While the actions we have taken have been difficult, we believe a streamlined cost structure positions us for profitable growth in 2024 and beyond. We continue to operate in a period of heightened macroeconomic uncertainty resulting in greater budget scrutiny from customers, particularly in the technology and manufacturing verticals, which, as a reminder, accounts for close to half of our Core Platform ARR. Our customer budgets for our solutions stem predominantly from their marketing departments, which are currently seeing the highest impact from the macro, resulting in budget cuts and layoffs.  Despite these challenges, which we believe are temporary in nature, I’m pleased with the results and the progress we made in the first quarter, and I’m optimistic about the steps we are taking to focus on our profitability. We have reduced our cost structure, expect to achieve non-GAAP EPS breakeven by Q2 ‘23, and our next milestone will be to achieve breakeven EBITDA in Q4 of 2023. As we disclosed in March, we have taken initial measures to enhance shareholder value, including an expanded capital return program of $125 million, which Steve will discuss in more detail. We also have strengthened our corporate governance with the addition of three new Board members. We are excited to welcome Cynthia Paul, Ron Mitchell and Teresa Anania to the Board and believe they already are providing valuable insights. Cynthia is the Founder, Chief Investment Officer and Chief Executive Officer of Lynrock Lake LP. She is a seasoned investor, an executive with nearly 30 years of experience investing across the full capital structure of public and private technology companies. Ron is the Co-Founder and Chief Executive Officer at Humanity Health and joins the Board with more than 20 years of experience, building, managing and growing technology-enabled consumer businesses. Teresa is the Senior Vice President of Global Customer Success, Renewals and Customer Experience at Zendesk. She has a proven track record of increasing customer lifetime value and retention while driving revenue growth. We continue to enhance our corporate governance and with these appointments, we have expanded our board to nine directors, eight of whom are independent and six of whom were appointed in the last three years. I am looking forward to working with our new directors and leveraging their collective experience and valuable insights as we navigate ON24 to the next phase of profitable growth. With the added expertise on our expanded Board, I’m even more bullish on the market opportunity that lies ahead. Digital sales and marketing is still in its early days, and we are uniquely positioned to help enterprises adapt their go-to-market strategy. The shift of audience engagement through digital channels is especially important for the key use cases we support. One, scaling demand generation programs and improving pipeline conversion; two, enhancing health care professionals and patient engagement with omnichannel content and experiences; three, facilitating continuing professional education and certification for accounting, legal and other service professions; four, enabling channel partners; and five, enrolling members and enabling brokers.  While we cannot control the macro environment, we are laser-focused on controlling what we can control and we have three main priorities to further strengthen our business. First, delivering on our profitability targets; second, focus on enterprises with over 1,000 employees, where we offer differentiated solutions; third, relentless platform and product innovation with a focus on generative AI. First, I will talk about our path to profitability. We are on track to reach breakeven non-GAAP EPS in Q2 of this year. We will not stop there. We will continue to make improvements in our operational efficiency. We expect to achieve breakeven non-GAAP EBITDA by Q4 2023, and we are committed to long-term profitable growth in 2024 and beyond. I am confident that this business will generate double-digit growth and double-digit EBITDA margins. Second, I’ll discuss our focus on enterprises with over 1,000 employees, where we offer differentiated solutions. The majority of our business, close to 80% is with 1,000-plus employee companies. In Q1, our enterprise customers continue to commit to longer deals, and our multiyear ARR from this cohort was at its highest ever.  Our enterprise customer tenure is very strong, and our top 25 customers have expanded their Core Platform aggregate spend with us by over 5x in the past 5 years. We are seeing our multi-product strategy pay off. Our ASP for new enterprise customers in Q1 increased year-over-year to its highest level in the last 4 quarters. As we move forward, we are increasingly focused on driving mission-critical use cases that enable our customers to grow revenue cost effectively. I would like to highlight four use cases where our customers utilize our differentiated solutions. First, our solutions support large global demand generation teams in the verticals of technology, manufacturing and information services where we power the ability to engage prospects and customers across the globe and convert that engagement into new sales opportunities and ultimately, revenue. Having a single platform to centralize, streamline and automate processes is critical to our customers’ ability to increase pipeline generation, improved conversion rates and gain significant ROI.  Second, in the highly regulated industries of pharma and life sciences, our platform’s ability to support compliance standards at a global scale, power, multiple experience types with a single platform and provide data that is integrated into leading life science CRM systems helps our customers educate and engage with health care professionals. Third, our platform automates the entire process from start to finish to enable professional services and financial services organizations to run and manage large-scale compliant professional certification and credentialing programs, thereby increasing the reach and cost efficiency of running these programs while supporting compliance. Fourth, our platform supports privacy and compliance standards in the strictly regulated health care and commercial insurance, insurance categories as these customers look to acquire new corporate clients, drive enrollment of potential members, provide virtual member benefits and develop new business for their agents and brokers.  Returning to our three main priorities to further strengthen our business. We have already touched on our goals to achieve our profitability targets and offer differentiated solutions to our enterprise clients. Now I would like to discuss our third initiative, our relentless focus on platform and product innovation powered by generative AI. As I shared at the beginning of our call, our platform allows customers to engage with millions of their prospects and customers. We take the audience engagement across these experiences, capturing more than 20-plus unique data points per attendee for experience, unify those data points into a single source of first-party data and convert that data into insights made actionable through our deep real-time integrations with CRM, marketing automation platforms and other business systems. Audiences spent almost an hour on average, interacting with ON24 experiences, providing unique insights that other marketing channels cannot supply since the interactions that typically last seconds or minutes. This differentiation has allowed us to develop a rich unmatched resource of millions of human-generated interactions. And we believe that our foundation of first-party data and insights provides a significant competitive advantage.  As we execute on our AI strategy, we are focused on three key areas: first, the automation of derivative content; second, engagement-driven content creation, recommendations and nurture capabilities; third, an AI-based program optimization engine. While I want to be careful not to disclose too much about our future product roadmap, I will highlight two tools that we introduced at the beginning of Q2. For digital marketing and sales teams to be successful today, content creation is critical, but is also one of the most resource-intensive and time-consuming aspects of sales and marketing. Our generated AI capabilities will provide a solution for this problem. And unlike other tools, our content will be tuned for a brand’s voice and messaging based on our rich source of human-driven engagement data. At the beginning of Q2, we introduced an embedded content generation tool within our platform called Smart Text that makes it possible for our customers to develop an entire promotional campaign with a simple prompt. We also produced a first of its kind key moments tool, a report that heat maps the sections of the experience that garnered the most audience engagement. You can imagine our ability to extend these capabilities in future quarters as we leverage AI to automate the creation of content, to extend campaigns to drive more engagement with prospects and customers, to capture more first-party data and to drive better results from programs to an AI-based optimization engine. Our goal is to help our customers to do more with less, which is especially important in the current uncertain macro environment. To learn more about our road map of platform innovations and our customers’ success stories. We invite you to join us at our Annual Global User Conference, The ON24 Experience 2023, which we are hosting virtually on June 13 through June 15. Before I turn it over to Steve, let me quickly highlight a few of Q1’s key new business wins and expansion deals. First, our ability to power multiple experience types while providing best practices and 24/7 support from our professional services team resulted in a 7-figure multiyear deal with a $10 billion plus, 40,000-plus employee multinational insurance provider based in the UK. Second, an IT services provider with 1,000-plus employees switched to ON24 from their point solution after seeing the ROI we help others in their industry achieve. They are focused on how our solution can help reduce their customer acquisition costs and improve their profit margins. Third, an existing insurance and financial services customer with approximately 25,000 employees and close to $30 billion in revenue last year, expanded its ARR from a pilot engagement to mid-6-figure annual deal. Our ability to architect a holistic enterprise grade solution that supports accessibility and compliance standards while automating and streamlining internal processes was a key factor to increasing their commitment by 14x. Fourth, an existing global manufacturer of health care products with nearly $20 billion in revenue and 50,000 employees expanded its ARR footprint with us by over 80x over the past decade as a scale digital engagement across their supply chain from educating health care networks to training ultrasound technicians. In summary, against a challenging macroeconomic backdrop, we delivered results in line with our expectations, continue to execute on our profitability targets, announced $125 million capital return program and strengthened our corporate governance. While marketing budgets currently are under pressure that will not last forever. And we believe that our platform enhancements, AI capabilities, enterprise focus and path to profitable growth will enhance long-term shareholder value. With that, I will hand it over to Steve.
Steve Vattuone: Thank you, Sharat and good afternoon everyone. I am going to start with our first quarter 2023 results, and we’ll then discuss our outlook for the second quarter of 2023 and full year 2023. Before I get into the numbers, as we highlighted last quarter, our focus will be on the Core Platform business as we are deemphasizing the virtual conference product. We view the metrics to our Core Platform, such as revenue, ARR and NRR as the best KPIs to measure our performance. Revenue from our Core Platform, including services in Q1 of 2023 was $41.2 million, representing a decrease of 7% year-over-year. Total revenue for the first quarter, which includes revenue from our virtual conference product was $43.1 million, representing a decrease of 11% year-over-year. Total subscription and other platform revenue was $39.4 million. Overages represented approximately 1% of total revenue in Q1. Total professional services revenue was $3.7 million, representing a decrease of 26% year-over-year, representing approximately 9% of total revenue compared to 10% in the year ago period. Our professional services revenue has declined as more customers choose self-service and the current challenging economic backdrop. Moving on to ARR. ARR represents the annualized value of all subscription contracts at the end of the period that excludes professional services and overages. NRR related to our Core Platform was $149.2 million, a decrease of $3.3 million from Q4 2022 and was consistent with the expectations we set out on our last earnings call. For Q1, we didn’t see any improvement in the demand environment from the prior quarter. Rather, we saw some incremental hesitancy from customers during March following the Silicon Valley Bank collapse as concerns from the banking sector broad. Closing new business in the technology and manufacturing verticals, which collectively make up almost 50% of our ARR remain challenging. On a positive note, we continue to see growth in our Life Sciences vertical, with that vertical growing ARR sequentially in Q1. ARR for our Virtual Conference product was $6.3 million at the end of Q1 2023, down from $7 million at the end of 2022. Total ARR was $155.6 million at the end of Q1 2023 as compared to $159.6 million at the end of 2022. Turning to customer metrics. The number of customers contributing more than $100,000 in total ARR totaled 333, down from 345 last quarter. This number was primarily impacted by some customers reducing their spend under the $100,000 threshold due to budgetary pressures. For our Core Platform, ARR, our average ARR per customer at the end of Q1 2023 was the highest ever at $78,000 per customer. The ARR contribution from the 100,000-plus customer cohort continues to represent approximately two-thirds of our total ARR, which is consistent with the prior quarter and demonstrates the strength of our larger enterprise customers and their continued commitment to our platform. Total customer count was 1,916 customers compared to 1,990 in the prior quarter. Customer churn within SMB, which comprises companies with less than 200 employees, contributed more than half of the net logo reduction in Q1. We continue to see our customers making longer-term commitments to our platform. Multiyear contracts, which comprised 41% of our ARR at the end of 2022, increased as a percentage of our ARR in Q1 to the highest ever. Before turning to expense items and profitability, I would like to point out that I will be discussing non-GAAP results going forward. Our non-GAAP results exclude stock-based compensation, restructuring charges, amortization of acquired intangibles, shareholder activism related costs as well as certain other items. Our GAAP financial results, along with a reconciliation between GAAP and non-GAAP results can be found within our earnings release. Gross profit in the quarter was $31.6 million, representing a gross margin of 73%, which is a 2 point decrease year-over-year and consistent with the commentary we provided on the prior earnings call. As we have stated previously, our long-term gross margin target is 78% to 80%.  Now turning to operating expenses. Sales and marketing expense in Q1 was $20.1 million compared to $25.5 million in Q1 last year. This represents 47% of total revenue compared to 53% in the same period last year and 45% in the prior quarter. Our sales and marketing expenses have decreased in absolute dollars from the prior quarter and year, largely due to the cost savings measures implemented in Q1 and also in the past year. R&D expense in Q1 was $8.2 million compared to $8.7 million in Q1 last year. This represents 19% of total revenue compared to 18% in the same period last year and 19% from last quarter. We continue to make meaningful investments in product innovation with a focus on reallocating our R&D spending to the highest priority ROI projects. G&A expense in Q1 was $7.5 million compared to $8.1 million in Q1 last year. This represents 17% of total revenue consistent with the prior quarters. We have taken actions as part of our broader cost containment measures to reduce our G&A costs. And as a result, our G&A expenses in absolute dollars have decreased compared to the prior year.  Operating loss for Q1 was $4.2 million or a negative 10% operating margin compared to an operating loss of $5.7 million and a negative 12% operating margin in the same period last year. Net loss in Q1 was $1.8 million or $0.04 per share based on approximately 47.3 million basic and diluted shares outstanding. This compares to a net loss of $6 million or $0.13 per share in Q1 last year using approximately 47.6 million basic and diluted shares outstanding. Turning to the balance sheet and cash flow, we ended the quarter with $350.7 million in cash, cash equivalents and marketable securities. Our strong balance sheet has allowed us to return a total of $41 million under our prior share repurchase program through February 2023, while also initiating an additional $125 million capital return program, which we announced in March. We are committed to completing the $125 million capital return program by Q1 2024.  In total, with these two programs, we will be returning $166 million to our shareholders by the end of Q1 2024. As previously announced, the $125 million capital return program consists of two components. The first component is a special cash dividend of $1.09 per share, which totals approximately $50 million. As described in the disclosure we showed yesterday, shareholders of record as of May 22 will be entitled to receive the dividend and the dividend will be paid on or about June 15, 2023. The second component of the capital return program is a $75 million share buyback program, which maybe executed using an accelerated share repurchase program and/or open to market repurchases. In Q1, we utilized $6 million under this program with an additional $9.9 million utilized thus far in Q2 for a total of $15.9 million utilized out of this program to date. We are pleased to be able to undertake this meaningful capital return to our shareholders while also maintaining ample liquidity to invest in strategic priorities and navigate through the current uncertain macro environment.  Turning to our use of cash for the quarter. Cash used in operations in Q1 was $4.2 million compared to cash used in operations of $6.8 billion in Q1 last year. Free cash flow was negative $4.3 million in Q1 compared to negative $7.8 million Q1 last year. Free cash flow margin was negative 10% in Q1 compared to negative 16% in Q1 last year. Before turning to guidance, I want to provide an update on our plan to return to profitability. Last quarter, we discussed our commitment to reach non-GAAP EPS breakeven by Q2 2023. We remain on track to deliver on our commitment. In Q1, we initiated a meaningful cost reduction initiative and reduced our headcount by approximately 13% during the quarter, while also reducing non-headcount-related vendor costs. The cost reduction actions cover all areas of the company, including rationalizing our real estate footprint, in 1 year, we will have reduced our total expense structure by approximately $40 million annually. Our next profitability milestone will be Q4 2023 when we expect to grow EPS and achieve breakeven non-GAAP EBITDA, and we do not plan to stop there. We expect to continue expanding our profitability throughout 2024. The measures we are taking position us well to deliver long-term profitable growth. Moving to guidance. In setting our fiscal year 2023 guidance, we assume that macro uncertainty continues and that we continue to see softness in our key verticals, especially in those industries or marketing budgets are being reduced at a high rate. We also assume that the weakness we saw in March continues for the remainder of the year. While marketing budgets are currently challenged, we are confident in our strong market position, and we remain optimistic about our long-term growth opportunity. For Q2, we expect Core Platform revenue, including services in the range of $39.5 million to $40.5 million and total revenue, which excludes our Virtual Conference product in the range of $41.1 million to $42.1 million. Professional services is expected to represent approximately 9% of total revenue.  We expect a non-GAAP operating loss in the range of $2.4 million to $1.8 billion and a non-GAAP earnings per share of breakeven based on 50.5 million diluted shares outstanding. We expect a restructuring charge of $1.5 million to $2.3 million in Q2 related to our ongoing cost reduction efforts and a separate charge of $1.3 million to $1.5 million or underutilized real estate, which we discussed last quarter. These items are excluded from the non-GAAP amounts provided above. In addition, we expect to incur certain onetime expenses in Q2 related to the capital return program we announced in March of $200,000 to $300,000. As we do not consider these costs core to our business, we are excluding them from our non-GAAP guidance provided above. I would also like to share a perspective on ARR. For Core Platform ARR, our guidance assumes a sequential decline of 3.5% to 4% in Core Platform ARR in Q2. For our Virtual Conference product, which we have deemphasized, we expect our Virtual Conference product ARR to decline by at least $1.5 million in Q2. This would result in total ARR declining sequentially in Q2 by approximately 4.5% to 5%. We do expect to see better ARR performance starting in the third quarter of this year with improved renewal cohort dynamics.  In addition, for the next 12 months, we now have a larger percentage of our ARR and multiyear contracts. We expect this to further improve our gross retention and ARR performance later this year. Now let me turn to our annual revenue guidance. For the full year, we expect Core Platform revenue, including services to be in the range of $156.5 million to $159.5 million, a decline of 12% to 10%. We expect total revenue to be in the range of $162 million to $165 million. Professional services is expected to represent approximately 9% of total net yield. We expect a non-GAAP operating loss in the range of $10.5 million to $8 billion and a non-GAAP net loss per share of $0.07 per share to income per share of $0.00 per share for breakeven EPS using 45.1 million basic and diluted shares outstanding and 49.7 million diluted shares outstanding, respectively. Structuring charges included in Q1, Q2 or future quarters are excluded from full year non-GAAP amounts provided above.  Our estimated shares outstanding takes into account the impact of our capital return program. Our bottom line annual guidance reflects the cost reduction efforts I discussed earlier, which includes reaching breakeven non-GAAP EPS by Q2 of 2023 and reaching breakeven EBITDA with positive non-GAAP EPS by Q4 2023. In terms of margins, we expect gross margins in 2023 to be in the low to mid-70s, consistent with the expectations we laid out previously. As a reminder, our long-term gross margin target model is 78% to 80%. In summary, we are operating in a challenging economic environment we are executing on our strategy and controlling what we can control. We believe that we are well positioned to deliver long-term profitable growth in 2024 with profitability expanding throughout 2024 while continuing to enhance shareholder value as evidenced by our $125 million capital return program. With that, Sharat and I will open the call up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Arjun Bhatia with William Blair. Please proceed with your question.
Faith Brunner: Hi guys. It’s Faith on for Arjun. Thanks for taking my question. So can you just provide some color on what’s helping drive this enterprise pipeline that you’re seeing? Are these largely new customer lands driving increased reference ability? Are you seeing partnerships helping bring in new names? How are you thinking about that?
Sharat Sharan: Yes, hi, let me take that. I think let me talk a little about pipeline first and partnership next. So in Q1, pipeline creation met our expectations. It was double-digit better as a percentage compared to Q4. And actually, the initiatives that our new CMO has undertaken are having an impact. And also, we saw strong pipeline growth for our new products. Again, a lot of our focus here is to generate pipeline in the enterprise segment. At the same time, we did see customers in general being a little more deliberate and taking longer to commit to purchases as their budgets got tighter. The other thing that also helped us I’ve talked about on the partner side that building our partner channel is one of our top priorities. And in Q1, one of our largest deals were sourced through a partner. And just overall, the contribution of partner influence and sourced bookings for the quarter was the highest ever. It was in double-digits. And we have made good progress in that in the last 12 months. Our goal is to grow partner bookings over time to 20% or higher contribution and the progress currently is encouraging.
Faith Brunner: Awesome. Thank you for the color.
Operator: Thank you. Our next question is from Scott Berg with Needham. Please proceed with your question.
Scott Berg: Hi, Sharat, it’s Steve. Thanks for taking my questions. I guess first question is for me is it looks like you lowered your total revenue guidance for the year here by about $4 million at the midpoint. You seem pretty pleased with your gross new bookings in the quarter or at least they were in line with your expectations. Can you help us understand the delta between maybe what’s different in your assumptions over the last 90 days?
Steve Vattuone: Yes, Scott. What we are – go ahead, Sharat.
Sharat Sharan: Steve, let me start that and then you can jump in. Let me just provide Scott some color on the ARR outlook for the second quarter. We are not seeing an improvement in the demand environment from Q1. As we talked about, the majority of our customers are in tech, manufacturing and financial services verticals. And the marketing budgets there are getting hit the most compared to any others due to layoffs and budget cuts. And this is materializing with pressure on down sells at renewal, Scott. So what our teams are focused on is to replenish these down sells. We’re adding – we are providing more products to our customers. But as we fill those down sells that’s creating more pressure on expanding the accounts. And it’s really the uncertainty that we are seeing in the market that is being challenging. So as we look at the rest of the year, we are being conservative and factoring that in. That being said, as I look at the second half, I’m encouraged, and we’ve talked about we expect to do better on our ARR in the second half because the number of deals in multiyear contracts is a lot better than it was in the first half. We talked about how in the first quarter, our ARR and multiyear deals was the highest ever. So we just have a lot less to renew. And secondly, we also expect that higher ASP with bundling of multiple products, something we have success with in Q1 will be helpful. Steve?
Steve Vattuone: Yes. Just to add on to what Sharat was saying, we are seeing increased pressure on marketing budgets, which is impacting most of our core verticals, it started with tech manufacture and it’s now really impacting all other verticals. And because of this, we are taking an incrementally more conservative view, Scott, for the remainder of the year as we do expect this macro uncertainty to continue for the rest of the year. Given our expectations for near-term Core Platform, ARR and the more limited visibility we have in the second half, we think it’s prudent to be more conservative with the guidance at this point. Now despite the lower top line, we are maintaining our bottom-line guidance for the year, and we do expect to be non-GAAP EPS breakeven in Q2 and our next markers to be non-GAAP EBITDA breakeven in Q4. And in 2024, we expect to continue to make progress on improving our bottom-line performance.
Scott Berg: Great. Thank you for the color there. Then from a follow-up question, Sharat, you laid out a couple of new initiatives on the AI front, especially with generative AI. How should we think about how your customers are going to kind of, I guess, leverage or use those platforms. Are these something that you’re going to be able to monetize in an incremental way? Or is this functionality just kind of being built into the platform to help with your general competitive differentiation? Thanks.
Sharat Sharan: I think it’s a combination of both. But let me take a step backward first, Scott. For our business, focused on sales and marketing, AI is an enabler. And what it allows us to do is to create technology in the platform for our customers to do more with less, which is probably the most important in this market environment. And let me explain. So first of all, our foundation of first-party data and insights provides us a significant competitive advantage for our AI strategy to start forward. And so we have three core areas that we are focused on and have got some really good customer feedback, we are still deciding on pricing and packaging. Now one is the what we call the automation of derivative content. Like I talked about, for digital marketing and sales, content is the beast. It is where a lot of dollars are spent. And at the beginning of Q2, we introduced an embedded content generation tool within our platform called Smart Text, and it makes it possible for our customers to develop an entire promotional campaign with a simple prong. Now we’ll extend these capabilities into the next quarter. Now imagine you have the 60-minute or 90-minute long-form content and webinars, you will be able to kind of take those and convert those into e-books and blogs and videos so to be able to solve your content problem without really using many more people. I think we are going to continue to look at the pricing and packaging for that, but that is going to be very exciting for our customers. Two, we are also now using AI to analyze the performance of this long-form content like 60-minute webinars in producing what we call key moments reports, snippets based on heat maps, audience engagement and based on AI. So that’s already out there in the market. And we are also looking to put together an AI-based program optimization engine that will help our customers determine the next best action they would be doing in executing programs. Again, coming back to this whole thing, we’re still working on pricing and packaging, but more and more our focus is giving customers more tools to do more with less.
Scott Berg: Excellent. Thanks for taking my questions.
Operator: Thank you. Our next question is from Patrick Schulz with Baird. Please proceed with your question.
Patrick Schulz: Hey guys. Thanks for taking my question. I guess the first one, maybe for Sharat. Can you just provide some additional color on what the conversations have been like with customers? I know you guys called out marketing budgets remaining under pressure, and it sounds like the demand environment has not improved during Q1. Are you seeing pricing become a more frequent topic of conversation? Are customers becoming more price sensitive in the environment? And has this impacted the competitive environment?
Sharat Sharan: Yes. I think you’ve talked about a few things. So let me talk about on the customer side, and then I’ll talk about pricing and then the competitive environment. So first, on the customer side, the conversation with every major customer right now, Patrick, really starts with conversation on downsell, hey, my budgets are being cut. I have layoffs happening. I need to reduce what I’m using right now. I just had lower budget. So that’s where we start. So the first focus for the team is to replenish those downsells, which creates pressure on expanding those accounts. So that’s where we are seeing kind of the biggest challenge, especially because of every budget in a department right now, marketing budgets are under the most pressure due to layoffs and budget cuts. That being said, the team is still doing a good job in kind of adding additional products, but it also puts a pressure on the expansion side.  Now your next question was on pricing. Yes, I mean, I think there is pressure on pricing when we are talking about new deals with customers, almost every deal right now has some level of pricing pressure. And you have part of that is we bring in additional products, but you do have to add maybe 5%, 10% additional pricing than we did before, okay? Now talking about competitors. Just bringing it back in, our focus is to be a one-stop sales and marketing, digital engagement platform that converts engagement into data and insights that drives revenue for our customers. And at enterprise scale, frankly, nobody does what we do. Our focus on use cases like increasing pipeline and demand gen conversion to delivering omni-channel programs for health care professionals to automating certification and credential for professionals. Previously, Patrick, I’ve talked about how our competitors are in two different environments. One is collaboration providers like Zoom, but they sell to IT buyers. They don’t have much data and insights. And they are actually a good lead gen tool for us because customers get their first pace of digital engagement and then they need a data resales and marketing platform they turn to us. On the private company side, companies that are point solutions, we are seeing many of these companies retreat from the market because they just don’t have the balance sheet to compete. So overall, I think the market environment has not changed. We have the marketing budgets are under pressure, but this is an opportunity for us to build market share.
Patrick Schulz: Okay. Thanks, I appreciate the detailed color there. And maybe Steve, just switching over to you on the financial side. You guys have done quite a bit on the expenses, driving down headcount and just better positioning your expense base. How should we be thinking about the trade-off between improving revenue trends and driving profitability? Are there still some levers to pull on the expense side? Or will most of the profitability improvement come with revenue recovery?
Steve Vattuone: First of all, the goal is always to grow the top line, and we’re working to get back to growth, obviously. But in terms of how you can think about profitability and 2024 and beyond. First, let me talk to what we’ve done thus far, we reduced headcount in Q1 by 13% and compared to mid-Q2 2022, which was the high watermark, we reduced it by 23%. Our total cost structure has been reduced by approximately $40 million over the past year. Now with the cost reductions we’ve made, we do expect to get to breakeven non-GAAP EPS in Q2 as we committed to and non-GAAP EBITDA breakeven in Q4. And we’re going to continually work to increase our efficiency and enhance our cost structure to improve the bottom-line performance in 2024 and beyond with our target of delivering double-digit non-GAAP EBITDA margins in the future regardless of the top line?
Sharat Sharan: Just to add to what Steve said, so let me just add a couple of things. Patrick, as we previously said, we expect to do better in the second half from an ARR perspective. But just with the limited visibility, where marketing budgets are being hit the hardest right now, we are being more conservative on second half ARR growth. Having managed through some of these difficult environments, what differentiates this market environment, the most is the uncertainty. While we believe that once it stabilizes, even if the economy is tough, people will start investing in growth, which will help us. So we are focused on what we can control, and that is product innovation with a lot of focus on data and AI, driving our profitability targets and also the capital return program of about $125 million.
Patrick Schulz: Great. I appreciate the color and thanks for taking my questions.
Operator: Thank you. Our next question is from Dan Reagan with Canaccord Genuity. Please proceed with your question.
Dan Reagan: Hey guys, thanks for taking my questions. So maybe one for Steve. So churn is still persisting with an additional 74 logos in Q1. I’m wondering what does normalized gross retention and net revenue retention look like in your view? And then as you look ahead and have potentially a stronger cohort customers in your base, what is that mix of growth between NRR and net new business look like?
Sharat Sharan: Let me take the first part on the lower growth. Dan, on this, our main focus is companies greater than 1,000 employees. And so the 100,000 plus ARR cohort decreased by 12 customers. As you know, in this market environment, the customers are renewing at lower dollar threshold, which was the largest contributor to the decrease. Regarding the overall customer count, it was mainly due to the SMB business, which was the largest contributor to lower churn and also the new business logo acquisition was a little challenging. But we focus a lot of energy on the 100,000 plus ARR customers. That being said, our core ARR per customer was the highest ever at $78,000 per customer. And for the 100,000 plus customers, that cohort is still two-thirds of our ARR, consistent with previous quarters. Steve?
Steve Vattuone: So in regards to your question on churn, churn and gross retention in Q1 were both in line with our expectations and the guidance we provided on the last call. We did expect to see higher down sales in this market environment, that’s how it played out. In Q2, for existing customers, we are seeing marketing budgets being reduced due to layoffs and budget reductions, and this impacts many renewal discussions. Now we are able to work through some of them by providing additional products, but this is continuing to pressure down cells. Our annual guidance assumes we continue to see an elevated level of downsells for the remainder of the year. Now that being said, the renewal cohort dynamics are better in the second half with more ARR multiyear agreements, which means less up for renewal, which should improve gross retention. Your question on NRR, we don’t give forward-looking guidance per se. And just as a reminder, there’s a bit of a lagging indicator that reflects some of the elevated downsells that we experienced in the latter part of 2022 and Q1 2023 as a lot of companies tighten our marketing budgets. We don’t disclose it quarterly, but I will say in Q1, our NRR was consistent with year-end levels, which for our Core Platform was 90%, and enterprise was about 4 points higher than that.
Dan Reagan: Excellent. Thank you. And then just one more quick one. How much did Silicon Valley Bank impacts your bookings in Q1? And do you expect these to close in Q2? And maybe any color on ECV expectations, they’ve been lowered for this cohort.
Sharat Sharan: Yes, let me take that. I think before the Silicon Valley Bank thing, from a vertical performance, we were mainly getting impacted by the tech and manufacturing verticals, which are about 50% of our total. What we saw after March is financial services, which was also an important vertical got impacted. And frankly, almost all our verticals other than Life Sciences are seeing the marketing budgets being pressured. We are not seeing an improvement in the demand environment right now from Q1. And again, we’ve talked about it, so I won’t repeat it, which is really creating a lot of pressure on the downsells and others. Yes, there were some deals that were pushed from Q1 into Q2, some deals also went away because as customers lost their budgets and they got tighter on the financial services side. But for the most part, where we are seeing the largest pressure is in the downsells. And so we’re incorporating that, we are not expecting that the second half gets better or this quarter gets better, and that’s what we’ve incorporated in our guidance.
Dan Reagan: Great, thanks so much guys.
Operator: Thank you. There are no further questions at this time. I’d like to hand the floor back over to Sharat Sharan for any closing comments.
Sharat Sharan: Well, thank you everyone. Thank you for joining us all today. Appreciate it.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.